Operator: Good morning, and welcome to the Old Dominion Freight Line Fourth Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Jack Atkins, Director, Investor Relations. Please go ahead.
Jack Atkins: Thank you, Gary. Good morning, everyone, and welcome to the fourth quarter 2025 conference call for Old Dominion Freight Line. Today's call is being recorded and will be available for replay beginning today and through February 11, 2026, by dialing 50669658, access code 901145. A replay of the webcast may also be accessed for thirty days at the company's website. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects, similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Old Dominion's filings with the Securities and Exchange Commission and in this morning's news release. Consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise. As a final note before we begin, we welcome your questions today. But ask that you limit yourself to just one question at a time before returning to the queue. At this time, for opening remarks, I'd like to turn the conference over to the company's President and Chief Executive Officer, Marty Freeman. Marty, please go ahead.
Marty Freeman: Good morning, and welcome to our fourth quarter conference call. With me on the call today is Adam Satterfield, our CFO. After some brief remarks, we will be glad to take your questions. Old Dominion produced solid financial results during the fourth quarter that reflect our ongoing commitment to revenue quality and cost discipline. We once again delivered best-in-class service to our customers, and our yield continued to improve. Although our operating ratio increased to 76.7% for the quarter, we believe our profitability metrics will continue to lead our industry and they reflect our team's ability to operate efficiently despite the challenging environment. I want to thank our OD family of employees for their dedication to our customers and their unwavering commitment to executing our long-term strategic plan. Our team remains focused on controlling what we can control to ensure that we continue to deliver an unmatched value proposition for our customers. The foundation of this value proposition is our ability to deliver superior service at a fair price. Our customers know that they can expect the highest standard of service from Old Dominion every day, which positions them to drive value for their own customers. We are pleased to once again provide 99% on-time service in the fourth quarter and a cargo claims ratio of 0.1%. Our track record of consistently delivering superior service has helped us to win market share over the long term while also supporting our ongoing commitment to revenue quality. We maintain a disciplined approach to yield that is designed to offset our cost inflation over the long term while also allowing us to continue to make strategic investments in our capacity, our technology, and most importantly, our people. While these investments have increased our overhead cost in the short term, we believe they will support our ability to grow with customers in the years ahead. Our consistent investment in capital expenditures throughout this economic cycle has differentiated us from our competitors over time. This is also a fundamental component of our value proposition, which has been critical to our ability to win more market share over the last decade than any other LTL carrier. During the fourth quarter, our team continued to operate efficiently while also managing our discretionary spending. These efforts are reflected by how well we have controlled our variable operating costs over the last few years despite the decline in our overall network density and other inflationary headwinds. To put this in context, in 2022, when we generated a company record operating ratio of 70.6, our direct operating expenses were approximately 53% of revenue. In 2025, our direct operating costs as a percent of revenue were also 53% despite the loss of network density associated with the decrease in volumes. Our efforts to enhance productivity have been made possible by key technology investments as well as business process improvements, which we believe will allow us to improve our operating ratio and business levels ultimately improve again. As we begin 2026, we are cautiously optimistic that we will see some recovery in demand within the industry. With the combination of our industry-leading service standards and more network capacity than we've ever had, we are better positioned than any other carrier to capitalize on an improving economy. As a result, we are confident in our ability to win market share, generate profitable revenue growth, and increase shareholder value over the long term. Thank you very much for joining us this morning. And now Adam will discuss our fourth quarter in greater detail.
Adam Satterfield: Thank you, Marty, and good morning. Old Dominion's revenue totaled $1,310,000,000 for 2025, which was a 5.7% decrease from the prior year. Our revenue results reflect a 10.7% decrease in LTL tons per day that was partially offset by a 5.6% increase in our LTL revenue per hundredweight. Excluding fuel surcharges, our LTL revenue per hundredweight increased 4.9% compared to 2024. On a sequential basis, our revenue per day for the fourth quarter decreased 4.1% when compared to the third quarter of 2025, with LTL tons per day decreasing 4.8% and LTL shipments per day decreasing 6.5%. For comparison, the ten-year average sequential change for these metrics includes a decrease of 0.3% in revenue per day, a decrease of 1.3% in LTL tons per day, and a decrease of 3.1% in LTL shipments per day. The monthly sequential changes in LTL tons per day during the fourth quarter were as follows: October decreased 5.3% as compared to September, November increased 2.6% as compared to October, and December decreased 4% as compared to November. The ten-year average change for these respective months is a decrease of 3% in October, an increase of 2.7% in November, and a decrease of 6.8% in December. For January, our revenue per day decreased 6.8% when compared to January 2025, due to a 9.6% decrease in our LTL tons per day that was partially offset by an increase in our LTL revenue per hundredweight. LTL revenue per hundredweight excluding fuel surcharges increased 3.9% in January. Our operating ratio increased 80 basis points to 76.7% for the fourth quarter of 2025. While we continue to operate efficiently and diligently managed our discretionary spending during the quarter, the decrease in our revenue had a deleveraging effect on many of our operating expenses. Our overhead costs tend to be more fixed in nature, increased 140 basis points as a percent of revenue due to this effect. The increase in our overhead cost also includes a 70 basis point increase in depreciation as a percent of revenue, which reflects the continued execution of our long-term capital investment plan that Marty just discussed. Our direct operating cost as a percent of revenue improved by 60 basis points as compared to 2024. This was primarily due to the net impact of adjustments we record in the fourth quarter each year that are related to third-party actuarial reviews of our injury and accident claims. The results of this annual review impact both the salary, wages, and benefits and the insurance and claims line items on our income statement. We were otherwise able to effectively manage our direct variable cost to be consistent with the prior year. Old Dominion's cash flow from operations totaled $310,200,000 for the fourth quarter and $1,400,000,000 for the year, respectively, while capital expenditures were $45,700,000 and $415,000,000 for the same periods. We utilized $124,900,000 and $730,300,000 of cash for our share repurchase program during the fourth quarter and the year respectively, while our cash dividends totaled $58,400,000 and $235,600,000 for the same periods. We were pleased that our Board of Directors approved a quarterly cash dividend of $0.29 per share for 2026, which represents a 3.6% increase compared to the quarterly cash dividend paid in the first quarter of 2025. Our effective tax rate for the fourth quarter of 2025 was 24.8% as compared to 21.5% in the fourth quarter of 2024. We currently expect our effective tax rate to be 25% for 2026. This concludes our prepared remarks this morning. Operator, we'll be happy to open the floor for questions at this time.
Operator: We will now begin the question and answer session. Before pressing the keys. Our first question today is from Jordan Alliger with Goldman Sachs. Please go ahead.
Jordan Alliger: Yes. Hi. Good morning. I was wondering, might as well ask that, can you provide some sort of thoughts and perspective on both, any indication on demand and what you're seeing and hearing from customers and thoughts around possible better tone to volume as we move through the year. And then maybe it's all in conjunction with that, your thoughts on seasonality as we go from Q4 to Q1 from margins? Thanks.
Adam Satterfield: Yes. I'll just start with the demand and let someone, I'm sure, will probably get at that OR question. But I think we've seen some positive signs that we've been really pleased with really over the last couple of months that have been developing. And then the release this week of the ISM was certainly very positive to see. And maybe as an indication of hopefully what things will be for the remainder of the year. Obviously, over time, we've seen that ISM it's a leading indicator and typically a couple of months after that inflects positive, we see volumes somewhat do the same. But just getting back to recent trends for what we've seen the thing I've been most pleased with is the increase in wafer shipment. And I think we've talked for multiple quarters now when trying to make the call on when is the demand environment going to finally turn. We've talked about looking at that weight per shipment, for example, as really the indicator within our business. So that really increased. We were down about fourteen fifty pounds in kind of September, October time frame. We saw that increase to fourteen eighty-nine pounds in November, which is above what our long-term seasonal increase would be for that month. And then we saw it increase further to fifteen twenty pounds in December. Again, that was about a 2% increase. Ten-year average is about a 1% increase from November to December in weight. So it pretty much performed in January. We're right at fourteen ninety-two pounds, so a little bit of a decrease, but that was right in line with seasonality. And I think somewhat impacted by a little disruption we had to our operations the last week of the month. We'd actually been trending higher than that as we progress through the month. So really good to see when looking at the tonnage per day, the weight per shipment, all those factors leading into the start of this new year. And hopefully, finally seeing the turn that we've been predicting for the last couple of years take shape.
Jordan Alliger: Thank you.
Operator: The next question is from Chris Wetherbee with Wells Fargo. Please go ahead.
Chris Wetherbee: Yes. Hey, thanks. Good morning, guys. Maybe I'll just pick up on that and ask about the first quarter kind of sequential from an operating ratio perspective and maybe any thoughts you have on revenue per day for the first quarter as well?
Adam Satterfield: Yes. Obviously, the revenue per day is going to lead right into it. And given the data that we just discussed for January, we're out a little bit behind seasonality. Again, on a revenue per day standpoint. I feel like we'll close that gap. We've seen good performance since early, but probably a little catch up in business this week where we had the weather disruptions last week. So, I think that will normalize. But hopefully, we can close the gap with seasonality as we progress through the remaining months of the quarter. Just from a big picture top line standpoint, I feel like our revenue for the full quarter will probably come in somewhere between $1,250,000,000 and $1,300,000,000. The low end of that range would be if we underperform seasonality at a rate similar to what we just did in the fourth quarter. And then the top end would be normal seasonality. And if you take normal seasonality from January through February to March, that would put us kind of right there in the middle. So, we'll see how that continues to take shape. And obviously, we give our mid-quarter updates that will allow for tracking. So with that said, the ten-year average change in the operating ratio was an increase of 100 to 150 basis points from the fourth quarter to the first. And I think we can get to the top end of that range. So I would say an increase of 150 basis points is probably the target and then maybe a plus-minus 20 basis points to continue to allow for some of that revenue uncertainty.
Operator: The next question is from Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Morning. So Adam, wanted to just you talked about the weight per shipment improving. Can you have a do you have a sense of of what's driving that? Is it are we starting to see some of the truckload stuff spill back? Is it just underlying industrial getting better? And then maybe just help us, I know that the yield trends decelerate a little bit into Q4 and maybe starting in Q1, is that just the weight getting better or is, you know, any thoughts on just, you know, how to think about yield trends as we're going from here? Thank you.
Adam Satterfield: Yeah. The I think the weight is is probably coming from all the above. Looking at our contract customers, weight's up a little bit. Our smaller mom and pop customers which actually we saw a little bit more growth out of or better performance, I say growth in the fourth quarter. Weight per shipment was up as well. And so I think that exactly what you said as the truckload market is changing, we've talked a lot about the spillover effect and how that's impacted volumes. Over the last couple of years. I think we're probably in the early innings of some of that starting to normalize. I don't know that we're completely there yet, but just given how there's some supply rationalization there, It certainly feels like that is beginning to happen. And the weight certainly will put a little bit of pressure on our yield metrics. But our guidance for revenue per hundredweight for the fourth quarter was to be up 5% and that would have been normal seasonality. So we came in right at 4.9%. Normal seasonality for the first quarter would be about 4.5% increase on a year-over-year basis. I feel like we've probably got at least a 50 basis point headwind. It looks like right now with the change in weight per shipment. So that's actually a good thing. And January kind of came in right at about that 4% threshold. So that's about what I would expect. Unless we see further increases in the weight that may put pressure on that revenue per hundredweight metric. But the reality is that's what we're hoping to see. We want to continue to see that weight per shipment going up. Because the thing that's being missed when we talk about revenue per hundredweight is what's the revenue per shipment? And that will continue to go up as the weight increases. That's going to be ultimately what we're looking at for success. How are we managing our revenue per shipment? And our cost per shipment. And we've obviously, the last of years, the operating ratio has gone the other way because we've had more cost than revenue there. On a per shipment basis. So that weight continues to go up. That's going to help us continue to build density in our network. It's going to allow for us to have more true yield on a per shipment basis and hopefully allow us to turn the corner. And get right back to produce an improvement in our operating ratio and long-term profitable growth.
Scott Group: Thank you, guys.
Adam Satterfield: Thanks, Scott.
Operator: The next question is from Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Great. Good morning, everyone. So maybe just a bit of a color here. I think you and your peers have spoken of some level of share shift away from LTL to TL in the down cycle, and you've expected that to come back when the market tightens up. I mean, now that TL rates have been pretty tight for a couple of months, are you starting to see that come back? And what do you think is the cadence of that coming back to the cycle? Thank you.
Adam Satterfield: Yeah. I think that, you know, it's a a natural sort of change that happens. I think that when you look at that truckload environment and a lot of those carriers are barely breaking even or worse. We've seen some capacity rationalization, if you will, in that environment. And I think that's changed the pricing environment there. And so hopefully, we'll continue to see those trends change at a time where it feels like overall industrial demand ready to start showing some signs of improvement again. And again, we say we're cautiously optimistic about all this because we had improvement in the ISM last year at about the same time. And then we had the event in April that threw cold water on everything. So we're in a great spot to continue to handle any business that comes our way. We've got more capacity than we've ever had in their network. We've got capacity with our equipment and capacity with our people. So we can respond to the inflection as it happens. And I think that's what has differentiated us from our competitors in the past. The ability to be able to take on significant volume growth the early innings of the cycle. Is when we've gained the most market share in the past. That's certainly what we're going look to as this cycle eventually inflects back to the positive.
Ravi Shanker: Understood. Thank you.
Operator: The next question is from Ken Hoexter with Bank of America. Please go ahead.
Ken Hoexter: Hey, great. Good morning. Adam, maybe just to follow on that or Marty, your thoughts on headcount down 6%. Shipments down almost 10%. So we're seeing a bit of a decoupling. Is there more opportunity as you think about the cost cycle? Or is that more being prepared, as you just mentioned, to capture that? And similar to cap seems like you're aging the fleet. Little bit as you reduced it from what down to $415,000,000 this year, down another to $265,000,000 next year. So now is there a cost impact on maintenance and the like? So maybe just it's a cost issue, but maybe you're talking about being more prepared for the upside. Thanks.
Marty Freeman: Yes, we're definitely prepared for the up cycle. The average age of our fleet actually improved this past year. It's now down to an average of three point nine years for our tractor fleet. And that's about where we like it, somewhere around four years. We've been below that before, and we've let it age up a little bit. But really pleased with our operations team as they've continued to try to right size the fleet and make sure we've got all the equipment the places we need, but also managing through our cost inflation from a repairs and maintenance standpoint. When we went through go back to 2022, 2023, we had cost per mile inflation that was more in the 10% to 20% type of range for each of those years. And we've been sort of flattish, just some mild increases, if you will, over the last couple of years. And I think that's a reflection of the management team's efforts in that area and continuing to rightsize. But from an employee count standpoint, I think we continue to manage through. And at the local level, our managers are making sure they've got the right amount of people and got the ability to flex hours up to meet the increased demand from our customers. So we're in great shape there. We'd anticipated that we would see a little attrition through the fourth quarter. That's about what we saw happen. And so the overall head count drifted down a little bit throughout the fourth quarter. As we somewhat expected. So, I think that will likely be here. And when you look over the long term, the change in headcount, the change in shipments really kind of match with one another. But what we'd expect to see is when we get into the early phase of the recovery, the number of hours worked by employee will increase on a per employee basis. We'll be able to step those hours up to meet the increased volume needs as they come. And so you should eventually see the volume growth that's leading any growth in headcount before those two numbers kind of converge again.
Ken Hoexter: Thanks, John.
Operator: The next question is from Reed Tse with Stephens. Please go ahead.
Reed Tse: Hey, guys. Thanks for taking my question. In the release, you pointed to pretty low CapEx number relative to what you expected year coming into 2025 and kind of what you've done historically. Can you talk about maybe what's driving that lower CapEx expense this year in those expectations behind, that guidance?
Adam Satterfield: Yes. It's just a function really of how what the volume environment has been for the last couple, three years. And we've continued to run our CapEx plan and that too is something that I think has differentiated us over time. From our industry. In fact, we've spent about $2,000,000,000 in capital expenditures over the last three years. And the volume environment obviously has not been robust. But I think we're in a really good spot when you sort of go down the elements of spend from a service center standpoint, we've got some projects that are in flight and that's a lot of the spend. That we've got this year. But we've got a little over 35% capacity in our service center network. We're handling a little over 40,000 shipments per day right now. And our network is built to handle more like 55,000 or even more. We've done more in certain months back in 'twenty one and 'twenty two. So we've got a lot of flex there to be able to grow. And the same thing with the fleet, just like I mentioned earlier, we've continued to right size the fleet if you will, and take some of the older units out. But we've got some that continue to need to be replaced. And that's the majority of what's in the spend there in that category for this year. So it is lower than as a percent of revenue than our typical range being 10% to 15%, but that's really just a function of the consistent investment that we've made over the past three years and kind of where we stand now and just wanting the business to grow into the network that we've got built. And when that starts happening, you think about our fixed cost, and Marty alluded to this in his comments, our overhead cost, if you go back to that 2022 period, they're up four fifty five hundred basis points. And that's really the difference in that record operating ratio then versus what we just completed in 2025. But once we start getting leverage on all these assets that we put in place, that overhead cost as a percent of revenue can swing back very, very quickly. And the density will allow us to further improve our direct cost as a percent of revenue as well. So that's what gives us the confidence that when we start seeing growth coming back in our business that we can get our operating ratio going back to that 70 type of threshold and beyond.
Reed Tse: Got it. Thank you, Adam.
Operator: The next question is from Jason Seidl with TD Cowen. Please go ahead.
Jason Seidl: Thank you, operator. Good morning, Marty, Adam and Jack. Want to go back on sort of your employee headcount numbers and as well as how should we think about driver pay and dock order pay as we move throughout the year if some of your cautious optimism comes true when we start seeing a rebound, do expect that number to go up a little bit as we move throughout the year?
Marty Freeman: Well, Jason, we always give an increase to our employees. And when we operate at a 75 we're in the fortunate position to continue to reward our employees first. And from a stakeholder standpoint, we prioritize our employees, and we want to make sure they're rewarded continue to be motivated to take care of our customers. And when you give 99% on-time service and a cargo claims ratio that's below 0.1%, I think our employees have certainly delivered. So we continue to give healthy raises. We did so in the 42% of salaries and wages and 25%. And or at least in the fourth quarter. And but we expect that we'll have a little bit of headwind there on those benefit costs probably be somewhere in the 41% of salaries and wages in 2026. So And then the final piece is the four zero one match that we make. And I think that's what ties everything in together. And we give a discretionary match every year that's up to 10% of our company's net income. So we continue to put a lot of dollars into our employees' four zero one plans to help them and their families prepare for retirement.
Jason Seidl: That's great color. Should we expect the next sort of raise to be next or this September? Or do you think it'll be sooner than that?
Marty Freeman: No. September is usually the timing of our our raises.
Jason Seidl: Okay. Fair enough. Appreciate the time.
Operator: The next question is from Jonathan Chappell with Evercore ISI. Please go ahead.
Jonathan Chappell: Thank you. Good morning. Adam, after two years of speaking to sub seasonality, it seems like a little bit more cautiously optimistic as you said and you laid out a first quarter where the middle of the range is February and March are in line with seasonality. A lot of your peers, even though they haven't reported yet, are talking, to a of, like, if we do x in volume this year or tonnage, that leads to y in OR. If you took that February, March midpoint of one q enrolled seasonality going forward, where would that put your tonnage on a year-over-year basis? And by association, where would that put your OR improvement for this year?
Adam Satterfield: Yeah. You know, I I think we normally just take it one quarter at a time. And obviously, there's a lot of ifs and buts that have got to play out and could play out. In that scenario. But what they say, you have some butts and beer and nuts, you have a hell of a party. And so I'll I'll let all you guys, you know, sort of go through all those gymnastics. But just looking at more in the short run, because I don't want to undersell what the long term could be, We've produced some serious improvement in our operating ratio once we get into those stronger demand environments. When we see the script flipped, still remains to be seen. But the second quarter, we've kind of laid framework out for the first quarter. And the second quarter. Typically you see revenue grow sequentially about 7% and the average operating ratio improvement is sequentially 300 basis to three fifty basis points. So, that would if we see all of that, if we see the spring surge that typically would happen and lead to that 7% type of sequential increase. Then that would put the operating ratio pretty close to being flat on a year-over-year basis in the second quarter. And then we would just have to sort of take it from there. But But I still think we don't want anyone to really get out over their skis necessarily. At this point from an expectation standpoint. It remains to be seen if this really is going to lead into that spring surge that we would typically see. We certainly feel like the stars are coming into alignment, but we felt that way before and in particular about February and March. So that's why we continue to say we're cautiously optimistic about how things might develop for this year. But I think that's why you're seeing some of the pullback in capital expenditures and doing other things that we feel like we needed to do to continue to manage our costs. And we've controlled our variable costs, and I couldn't be more pleased than I am with our operations team. And if you think about the loss of network density, if you go back over the past couple of years, we've added about six service centers and there's a lot of cost comes with that, just overhead cost and network line haul cost, pickup delivery with the loss of density. So to be able to manage those costs, says a lot to our team. Says a lot to the continued investment in technology the tools that we give the team to help kind of manage those costs and also to the yield discipline. If you weren't disciplined with yields throughout, we wouldn't have been able to keep those costs consistent as well. So, a lot goes into it. And it's a total team effort from sales, operations, pricing cost and you name it. It all kind of feeds into how we've been able to continue to produce strong profitable growth over the long term that the last ten years despite this three-year freight recession, we've still got a ten-year average growth rate of about 15% in our net income. So this says a lot to what we've done, but we think about the future, we got a lot of room for growth ahead. And operating ratio improvement. So, I'm happy with what we've done, more excited about what can come.
Jonathan Chappell: Great. Thanks, Adam.
Operator: The next question is from Eric Morgan with Barclays. Please go ahead.
Eric Morgan: Hey, good morning. Thanks for taking my question. I wanted to just follow-up on the pricing discussion. Sounds like weight per shipment is having a mix effect in the first quarter. Just curious how we should think about what the cadence might look like looking a little bit further out, especially if that if you do kinda hold that 1,500 pound level, I think that'd be a larger increase in 2Q and 3Q from last year. So just curious how we think about that impact, as well as maybe length of haul a little bit lower here. Should we just kind of naturally see that yield number trend a little bit lower from mix? Thanks.
Adam Satterfield: Yes, I think so. I mean just looking at what normal seasonality would be we'd be in kind of that 4% to 4.5% type of range. And again, if we have even more of an increase in weight, it could be lower. When you look back at some of our stronger years, from an overall revenue standpoint, volume environment, those types of things, we've had revenue per hundredweight growth that's been more in the 3% range. And that was my point earlier with the comment that sometimes, I think we get so down in the weeds and thinking about revenue per underweight. Kind of missed the big picture of what's really the revenue trends doing. And what's our revenue per shipment versus cost per shipment. So, I'd love to see our weight per shipment go back up to 1,600 pounds, which is where we've been in stronger demand environments. And yes, that might put pressure on that revenue per hundredweight. That's going to do wonderful things for the overall top line revenue as well as what we would be able to do an operating ratio standpoint. So we'll continue to kind of manage through that. But certainly, we'd hope we see that weight per shipment and if we're talking about some revenue per hundredweight that might be a little bit lower than what was reported, last couple of years. That's probably a good thing in the sense of what's really going on with the demand environment. It's certainly no change with what our yield management philosophy fee is or how disciplined we continue to be as we manage cost and manage yields.
Operator: The next question is from Rishi Harnane with Deutsche Bank. Please go ahead.
Rishi Harnane: Okay. Thanks, guys. So Adam, you mentioned that last week you saw some disruption. Maybe just clarify what went into that. Was it just weather? And did that weigh on your costs? Should we expect higher costs this quarter or two in light of that weather? Is that embedded in your 150 basis points change in OR target? Also another clarification, curious if the government shutdown had any impact on 4Q or potential impact this quarter from that on you or the industry? This quarter. And then so those are that's a clarification. And then I guess just my real question beyond those clarifications is incremental margins. You said, you know, you have more excess capacity than you've ever had in your network. Know you said you're quite excited about what's to come. Should we think that your incremental returns on growth can be higher than we've ever seen? I believe you eclipsed 40% post-COVID, but that was accompanied by really strong revenue growth. So I'm not sure if that's a unique situation.
Adam Satterfield: Yeah. I'll probably spend more time addressing the last real question. But yes, the snowstorm last week obviously was disruptive and that was baked into our revenue and margin guidance and really nothing material to speak from a government shutdown standpoint. But I think just thinking about incremental margins to me, one, we got to get back to revenue growth to produce them. But I like to think about that breakdown in our income statement structure, and we talk a lot about our direct variable cost. Those were 53% of revenue in 2025. So if you bring on $1 of business, you should be able to generate a 47% incremental margin if it just takes variable cost. From that standpoint and just get complete leverage on all your overhead. And typically, is what happened in the early innings of our recovery. We just see more of that variable cost. And getting that leverage there before you've got to get back into investing in new service center expansion and new equipment and those other assets. But as you add new service centers, that creates incremental costs. You've got a new service center manager and a team of employees at the facility and the office and salespeople and things like that. So it all kind of ties in together. But when I think about just where we stand now, 75% operating ratio, we've been at a 70.6. We've talked before about getting to a sub-seventy operating ratio. I think that sort of mid-40s makes sense in the an incremental margin standpoint makes sense in the early innings. But then let's just stay focused on getting back to achieving that sub-seventy operating ratio. And we certainly can get there. I referenced this earlier, but when you look back at some of our really strong years with revenue growth, we've had operating ratio improvement in the 300 or more basis point range in any given year. So that's what we'll be focused on. That will help drive that 75,000,000 back to the 70,000,000. And when we get to 70,000,000 when we beat that goal, that's when we'll establish the next one and probably give new incremental margin longer-term type of goals that we're looking at as well.
Rishi Harnane: I like it. Thank you.
Operator: The next question is from Tom Wadewitz with UBS. Please go ahead.
Tom Wadewitz: Yes. Good morning. So Adam, I think there's you know, this ISM print was so large that such a big step up that and some of the commentary wasn't as bullish as the number and the orders going up a lot too. What what do you hear from customers? Do you hear that much kind of good news and enthusiasm about, you know, improvement in active activity or do how do you kinda look at what your what your customer feedback is and just kind of thinking maybe relative to such a big ISM number, which I know historically is, you know, is really good read for LTL?
Adam Satterfield: Yeah. I think that, you know, obviously, we solicit feedback constantly from our customer base and our sales team. In the fourth quarter. We build a bottoms-up forecast and we marry that with a top-down forecast where we're looking at other macroeconomic indicators and things are starting to feel a little bit better even in the fourth quarter last year, I feel like we've had some really good customer conversations in the sense of what they were anticipating their volumes might look like, the amount of business that they would tender to us. And so forth that gave us a little sense of optimism. And I just continue to say that, that's one month of a print with the ISM. And that's why we want everyone to be cautious with it. We're still looking at at volumes that have been down on a year-over-year basis. And but we feel like things are getting better and we're still talking about revenue that would be down on a year-over-year basis in the first quarter. But one of the things about our business model is, I feel like when you think about our long-term strategy of giving superior service, allowing that service to support a fair price pricing targeting 100 to 150 basis points of yield above price or cost rather, That's allowed us to improve our cash from operations. There's a flywheel effect to our business model. And we've got to get that flywheel effect going again. So as we can get into the early innings, it's those first rotations are a little bit slower. We're just making sure everybody is thinking through all of those factors. And it's not just going to turn around on a dime starting tomorrow. Because that one economic data point came out. But if we are in the early stages of this, I think history repeats itself in this industry. And you certainly can see how we've outperformed the other carriers when we get into those early stages of recovery. And we're certainly in position. Our team is in position and ready to roll. So we're ready to put it on the trucks and see revenue growth coming again as and the operating ratio improvement will follow.
Tom Wadewitz: So you are hearing positive input from customers but maybe not to the degree of the move up in the ISM number. Is that a fair understanding of what you said?
Adam Satterfield: That's fair.
Tom Wadewitz: Okay. Thank you.
Operator: The next question is from Bruce Chan with Stifel. Please go ahead.
Bruce Chan: Thanks operator and good morning guys. Adam, you talked about 35% spare capacity in the network. And I know, these past couple of years, we've been a little bit more focused on door and facility infrastructure. Just wondering if that number is similar for the fleet and linehaul network especially with some of the better planning tools that you have and, you know, maybe how we should think about additional fleet CapEx versus, you know, maybe flexing PT higher if, volumes do indeed accelerate?
Adam Satterfield: Yes. We don't have that much excess capacity in the fleet, if you will. That would been heavy with our fleet, but probably not at that same type of level. We try to keep that a little bit tighter. You always want to have spare capacity, if you will, especially in the trailing equipment. You know, if you got that much excess power, it just hurts you. It's very punitive from a depreciation. Per unit standpoint. So but part of our CapEx this year we've got about 105,000,000 that's slated, I think, for equipment. And so that's something that we'll continue to look at replacing where we need to replace. We use a tractor for about ten years. So we've got some that are at that point of being replaced. And but continuing to right size the equipment pool as well and making sure that we've got equipment in all the right places where we're seeing growth to keep the line haul network in balance. And we continue to make adjustments to the line haul throughout the year. Team has done a phenomenal job of making sure that we're meeting service standards. We continue to tighten some of our transit times in certain lanes as well. Despite the limited density that the been in the network. So looking forward to get more freight back in the system will make some of that a lot easier, reduce our empty miles, allow us to start running more directs and bypassing some breaks and so forth. And that's what gives me comfort in knowing that those direct costs that we've talked about that are 53% of revenue in 2025 that we can really show some strong improvement in that number. Once we get density flowing again.
Bruce Chan: Okay, great. Thank you.
Operator: The next question is from Ari Rosa with Citigroup. Please go ahead.
Ariel Rosa: Hey, good morning. So I was hoping you could address competitive dynamics in the industry. Just maybe speak to what your level of confidence is that this cycle will play out like past cycles? And specifically, I'm curious about just the role of Amazon. We've been hearing a lot about their growth ambition or them looking to expand in in the LTL space, and then, obviously, FedEx is planning the separation of its freight business. Just talk about how you feel your position. I know obviously service continues to be exceptional at OD, but just talk about how you think the cycle could play out this time around. Thanks.
Adam Satterfield: Yes. Well, all the carriers that are there, top 10 carriers are 80% or so of the industry. And they're all the same other than yellow. That was there before. So we've been competing against these companies for years. And I feel like capacity within the industry continues to be tight and maybe more so than what the perception out there is. When you look at the total number of service centers, back in 2022 versus what was reported at the 2024. We've seen about a 6% decrease in the number of service centers in the industry. And when you look at shipments per day per service center, those two metrics at the '2 versus the '4 are about the same. So you take an environment that was tight back then and when you look at the growth numbers for other carriers, despite how strong the volume environment was in 'twenty one and 'twenty two, at least for the public carriers, I think the growth in tonnage in 'twenty one was about 4%. When we grew 16%. So most of the carriers run their networks a little closer to full utilization. And I think that's a structural difference that that we have. We own the majority of our service centers and about 95% of our doors overall. And so we're comfortable with continuing to invest through the cycle and having more of that late capacity out there to grow into. And that asset ownership gives us that ability to do so. So that's why we're confident that when we see the demand environment growing again that I think we'll be able to significantly outgrow the industry. And when we do so, we'll see stronger returns coming in. And despite the challenging environment that we've had for the last few years, we're still producing returns on invested capital of 25% to 30%. And when you look at GAAP numbers, true GAAP earnings we've got some competitors that have got net income margins in the low single digits. And so I think that will be the opportunity what we see in past cycles is that's when other carriers will increase rates more and take advantage of supply and demand imbalance. And but for us, we want to continue on with just more of a consistent strategy. And that's when we see that big density opportunity, if you will. And that's what what we're expecting when we finally see the turn in the cycle.
Ariel Rosa: Very helpful. Thanks.
Operator: The next question is from Jeff Kaufman with Vertical Research. Please go ahead.
Jeffrey Kaufman: Thank you very much and congratulations. A lot of my questions have been answered at this point. So I want to go back to the equipment discussion you were having. Some of the truckers I've been talking to said, listen, we're having trouble quoting our freight liners or our internationals because of the section two two tariffs and people aren't certain what the rebates are gonna be. But we've got more fundamental pricing on our domestically produced trucks like our Pete's and Kenworth's. I was just kind of curious what you're seeing on the equipment side in terms of quoting activity from the OEs in the wake of some of the tariff changes?
Adam Satterfield: Yes. I think that there are always challenges that we go through when we look at the cost of equipment and how we plan for equipment and so forth. And it seems like every engine change and new regulation it's done nothing but increase the cost of equipment. And for us, as I just mentioned, we typically will use a tractor for ten years. So when you think about the per unit price, ten years ago versus today, it's significantly different. That's a big driver of some of our cost inflation. When you think about those on a per unit basis. So, So that's part of why we when we look at the number of units we were going to buy this year, you take that all in consideration. But at the end of the day, you need the fleet that you need, and you've got to build the pricing of those units and every other element of cost that we deal with. Into our cost model. And let that drive the output of what we need. But I would say again, that's just one element of cost. If you go up and down our income statement, and you look and think about per unit inflation, we've been able to average cost per shipment inflation of about 3.5% to 4% over the last ten years. Each line item has had significant inflation and more so than that number. That's the importance of why we stay so focused on our cost and managing cost and managing efficiencies and discretionary spending. We're doing all these other things. We're driving operating efficiencies that really minimize the true inflationary impact that we're seeing from things like insurance costs. Group health and dental medical costs, the cost of equipment and so forth and so on. So our team has done a great job leveraging technology's business process improvements to be able to keep our cost inflation low. And then that, in turn, allows us that when we think about trying to target 4% to 5% type of increases that we've generated over the long term in our revenue per shipment, that's that positive 100 to 150 basis points delta that we want to be able to generate those two. But we can't take our eye off the ball when comes to managing costs. You've got to think about costs day in and day out in good times and bad. And I think that's what our team has done over the really over the course of our history, but over the past few years in particular.
Jeffrey Kaufman: Thank you.
Operator: The next question is from Brian Ossenbeck with JPMorgan. Please go ahead.
Brian Ossenbeck: Good morning. Thanks for taking the question. Maybe just to quickly follow-up on the cost per shipment. Inflation you're expecting this year, is it still 3.5% to 4%? And you outlined some of the equipment and health care costs. Is that something you still think is reasonable to expect this year? Then maybe just to follow-up on the competition side. Private companies are obviously getting a bit bigger here as well in in the wake of Yellow going out of business. Wanted to see if you thought that had a any impact, on how the next cycle, upcycle, might play out for the industry. Thanks.
Adam Satterfield: Yes. So the cost inflation, we're I think it's going to probably be a little bit heavier again this year. I'm thinking it's probably going to be more in the 5% to 5.5% range. And that's core inflation, not really thinking about what fuel might do. And right now, we're looking at fuel prices that have been lower on a year-over-year basis. So we'll see how that continues to play out. But I feel like we've as I mentioned earlier, we're looking at a little more inflation from an employee benefits standpoint. I think we're going to continue to see some pressures there. Within our group health and dental cost in particular. And then we've made some continued improvements to our paid time off policies and so forth that I referenced. So, anticipating some inflation there, continued inflationary increases. As just mentioned on the equipment on our insurance programs and other things. So if we can get some density coming back in the system, I think that is something that could turn that number into maybe seeing some improvement and working it back down. But if you just sort of stay in more of a neutral volume environment, if you will, I'm thinking that we're going to be more in that 5% to 5.5% range. And remind me again the second part was just the impact of Yellow being out.
Brian Ossenbeck: Just how private companies seem to have taken up some of that extra capacity that has meaningful impact on how the industry might play out or the cycle might play.
Adam Satterfield: Yes, think many of those service centers ended up with the private carriers. As it's been reported. But again, looking at overall capacity for the industry, number of service centers is the best thing we have. That looks to be down. Versus about 6%. And there may be some service centers that were swapped adding a few more doors, I think that's a good proxy for capacity that's been removed from the market. So again, if you had a capacity constrained industry, back in 'twenty one and 'twenty two, the number of shipments per day per service center are the same in 2024 with where we were back in that capacity constrained environment. I think we're going to see capacity constraints when we start coming back into a stronger demand environment. And that's what gives us the confidence that we'll be able to to win market share and outperform the other carriers from a volume standpoint in the early stages of that recovery.
Brian Ossenbeck: All right. Thanks very much, Adam.
Operator: The next question is from Stephanie Moore with Jefferies. Please go ahead.
Stephanie Moore: Great. Good morning. Thank you. I wanted to maybe circle back to a prior question that was asked where you kind of talked through a a bottom bottoms up analysis of talking with customers and maybe some of the slightly more optimistic conversations you're hearing from them. Is there any any way you can parse out the end markets or there's any concentration of end markets where you're hearing some of that optimism from customers whether it's within industrial, is it large infrastructure kind of data center plays, is it within consumer, Any additional insight would be really appreciated. Thank you.
Adam Satterfield: Well, you know, 55% to 60% of our revenue is industrial related, and I think that's similar for the industry. That's why I assume this is so highly correlated with the industry volume. So kind of hearing it across the board. I think that seeing some improvement there. We've had feedback that inventories have generally been lower. So we're thinking that we're going see some inventory replenishment. But I think it's sort of different factors for different customers. Our business is so diversified. We move everything, including the kitchen sink. So you've got, if housing starts improving, you'll see things like fall faucets and so forth that will have increased demand there. And obviously, all of the products that go into someone moving into a new home. But I think that'll be important to see some continued improvement there. If we continue to see on the industrial side. At the end of the day, what drives it all is a healthy consumer. And so consumer confidence and consumer strength and buying patterns will drive whether or not we see sustained improvement in the demand and volume environment. And so hopefully, when people start seeing if tax returns look better and they've got more discretionary income to go spend, And then inventory does need to be replenished. Those will all be good things that will create freight that will find its way on our trucks, we're looking forward to it.
Stephanie Moore: Thank you so much.
Operator: The next question is from Christopher Koon with Benchmark. Please go ahead.
Christopher Koon: Hey, good morning. Thanks for taking the question at the end of the call. I really appreciate the time you guys given today. It's, you guys don't talk about it as much, but are there any AI initiatives that you are kinda undertaking and in the next 2026 and beyond that we should be focused on?
Adam Satterfield: Yes. I would put it in the broader context of technology investments. And obviously, AI is kind of the buzzword of the moment. And we've got some investment there that's going into some of the tools. But I think from a bigger picture standpoint, you think about Old Dominion I think the investment that we've made in technology, it goes back decades. And we've got OD technology is one of our branded products. And so we've been at the forefront of tech investment, I think, for years and years, that will be no different going forward. But there's got to be investment going to end up with a return. We don't want to just say we're investing in, you know, machine learning and and and AI just to be able to say it, where's the proof in the pudding? And I think when you look at our cost performance in 2025, that's kind of the proof. And we wouldn't have been able to manage our line oil costs like we have if we've not continued to invest in and refine the tools that our teams are using. And it's the same thing on the dock. It's the same thing within our pickup delivery operations. We've got to continue to make investments in products that are going to have a return associated with them. You don't want to invest in something that going to cost you more on the technology that you would other what you're going to save potentially. And sometimes, could be the case. But I think that our focus will continue to be what I just said, investing where it's going to drive operating efficiencies. The other key part, though, will be continue to invest in something that drives a strategic advantage from a customer service standpoint. If we can continue to try to stay ahead of the game, have systems that drive sticky customer relationships. Those are kind of the two big key factors that we think about when we think about the dollars that are invested in tech initiatives year in and year out.
Christopher Koon: Got it. Thanks. Appreciate it, Adam.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Marty Freeman for any closing remarks.
Marty Freeman: Thank you all for your participation today. We appreciate your questions. And please feel free to give us a call later if you have anything further. Thanks and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.